Operator: Good day and thank you for standing by. Welcome to the Enlight’s First Quarter 2025 Earnings Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Yonah Weisz, Director, IR. Please go ahead.
Yonah Weisz: Thank you, operator. Good morning everyone and thank you for joining our first quarter 2025 earnings conference call for Enlight Renewable Energy. Before beginning this call, I would like to draw participants' attention to the following. Certain statements made on the call today, including but not limited to, statements regarding business strategy and plans, our project portfolio, market opportunity utility demand and potential growth, discussions with commercial counterparties and financing sources, pricing trends for materials, progress of company projects, including anticipated timing of related approvals and project completion and anticipated production delays, expected impact from various regulatory developments, completion of development, the potential impact of the current conflicts in Israel on our operations and financial conditions and company actions designed to mitigate such impact and the company's future financial and operational results and guidance, including revenue and adjusted EBITDA are forward-looking statements within the meaning of U.S. federal securities laws which reflect management's best judgment based on currently available information. We reference certain project metrics in this earnings call and additional information about such metrics can be found in our earnings release. These statements involve risks and uncertainties that may cause actual results to differ from our expectations. Please refer to our 2024 annual report filed with the SEC on March 28, 2025 and other filings for more information on the specific factors that could cause actual results to differ materially from our forward-looking statements. Although we believe these expectations to be reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Additionally, non-IFRS financial measures may be discussed on the call. These non-IFRS measures should be considered in addition to and not as a substitute for or in isolation from our results prepared in accordance with IFRS. Reconciliations to the most directly comparable IFRS financial measures are available in the earnings release and the earnings presentation for today's call which are posted on our Investor Relations web page. With me this morning are Gilad Yavetz, CEO and Co-Founder of Enlight; Nir Yehuda, CFO of Enlight; and Adam Pishl, CEO and Co-Founder of Clenera. Gilad will provide some opening remarks and then we'll turn the call over to Adam for a review of our U.S. activity and then to Nir for a review of our first quarter results. Our executive team will then be available to answer your questions.
Gilad Yavetz: Thank you for joining us today for Enlight's first quarter 2025 earnings call. We are pleased to report strong financial results for the quarter. Revenue and income grew by 39% compared to the same quarter last year, reaching $130 million. Adjusted EBITDA also increased by 84% to $132 million. These results support our full year guidance ranges of $490 million to $510 million in revenues and $360 million to $380 million in adjusted EBITDA which remain unchanged, reflecting the resilience of our combined developer and IPP business model. A significant contributor this quarter was the Sunlight transaction which added $42 million to adjusted EBITDA and $97 million to pretax profit. Nir will provide more details on our financial performance later in the call. During the quarter, we made good progress with our expansion plans. In the U.S., our next wave of projects remain on schedule. Construction on Quail Ranch and Roadrunner is advancing and they are expected to begin operations by the end of this year, followed by Country Acres in the second half of 2026. Together, these projects will add 820 megawatts of generation capacity and 2 gigawatt-hour of storage upon COD with expected total revenues and income of approximately $250 million and EBITDA of $219 million during their first year of operations. We also reached an important milestone by securing the financial close for Country Acres and Quail Ranch during the quarter, joining the financial close for the Roadrunner at the end of last year. We have raised a total of $1.5 billion in financing at favorable terms for these 3 projects over the past couple of months despite recent U.S. trade policy changes that created market uncertainty. This demonstrates our strong ability to access the capital we need to support our growth. Looking ahead to the second quarter, we plan to start construction on CO [ph] and Snowflake, 2 U.S. mega projects with a combined capacity of 2.6 factored gigawatts and with expected combined total revenues and income of approximately $450 million and EBITDA of $400 million during their first year of operations. As part of its global strategy, Enlight has worked to build a diversified and resilient supply chain for the equipment used in its projects. As a result, the recent introduction of trade tariffs in the U.S. has no material impact on our project economics. Our solar panels are either domestically sourced or are imported from countries other than China and we use Tesla as our main battery supplier which produces a large portion of their equipment domestically and therefore, has relatively lower tariff exposure. On a broader scale, we are also confident in our ability to negotiate with equipment supplier as well as adjust our PPAs to market conditions. Adam will give more detail on our U.S. project progress and tariff impact in a moment. In Europe, we are seeing rising demand for energy storage and our development strategy is leveraging this trend. We are also starting construction on 1.3 gigawatt-hour of energy storage this year in Italy, Spain and Sweden. We also entered the standalone energy storage market in Poland with 3.2 gigawatt-hour now under development. In Israel, we advanced our position in 2 key growth areas: data centers and standalone storage. We won a state land tender for Israel's first integrated data center and renewable energy complex at Ashalim. We plan to build a 100-megawatt IT data center at an expected investment of $1 billion. This project is strategically important as demand for computing power is rapidly growing in Israel. We also strengthened our leadership in Israel's deregulated electricity market by winning a 1.9 gigawatt-hour bid in Israel's first standalone energy storage capacity tender, further solidifying our 50% market share in this sector. In summary, this quarter combined strong financial performance with continued progress delivering on our near-term project and long-term expansion plans. Our robust supply chain continues to shield us from changes in the U.S. tariff and trade policy. This resilience allows Enlight to continue executing on its strategy of tripling company growth every 3 years. Now, I'd like to turn the call over to Adam.
Adam Pishl: Thank you, Gilad. I'm excited to report the great progress our U.S. team continues to make on our extensive project portfolio and on our 3 large projects now under construction. Beginning with Quail Ranch, located in Albuquerque, New Mexico, this 128-megawatt PV and 400-megawatt hour battery storage project is the second phase of our Atrisco complex which achieved COD in 2024. Construction at Quail Ranch is on schedule and progressing well. The PV site has all piles installed with racking and inverter installation underway. Nearly all the medium voltage trenching is complete on the energy storage portion of the project and we are halfway through the foundation construction for the battery containers. We anticipate achieving commissioning of the site before the end of 2025. As Gilad mentioned, in mid-April and in the midst of tariff-related uncertainty, this project closed financing on a $243 million construction loan package. Now moving on to Roadrunner, a 290-megawatt solar and 940-megawatt hour battery project in Southeast Arizona. Similar to Quail Ranch, construction of this project is making excellent progress. We have completed nearly half of the pile installations, a third of the overall racking system and inverters are starting to be delivered and installed. We have also begun construction on the battery storage portion of the project with foundation materials delivered and ready for installation. We are currently on track for commissioning by the end of this year. Our final project under construction is Country Acres near Sacramento, California, with 403 megawatts of PV generation and 688 megawatt-hours of battery storage capacity. Construction is accelerating with ground clearing, internal road building and the first row of PV solar now underway. We anticipate this project will be complete and commissioned during the second half of 2026. This quarter, we also closed the $773 million construction financing needed for this project. With successful financial closes this quarter as well as excellent construction progress, we are in a great position to rapidly bring 3 major projects online to meet critical demand and set us up for success with Snowflake A and CO Bar, our next wave of projects with 2027 CODs. Recent changes to U.S. trade policies have put a renewed emphasis on the renewable energy industry supply chain. Clenera has built a strong reputation and an attractive portfolio of projects within the sector, helping us establish a diversified and agile supply chain with the ability to navigate shifting trade and tariff policies. Our deep relationships with equipment manufacturers from around the world and our reputation for completing projects in challenging market conditions are especially important during times of volatility. We have the advantage of increased flexibility by sourcing material from locations least impacted by changes to trade policy, whether in the U.S. or Asia. Due to our large purchasing volumes, our suppliers prioritize our orders and remain attuned to our needs. Our utility partners continue to select us as a respected independent power producer, able to deliver the projects needed to meet their increasing demand. These relationships, among other factors, help us mitigate the various impacts of changes in trade regulations, minimizing impact to our project economics. More specifically, as it relates to tariff risks, all PV panels for projects under construction are either domestically sourced or are imported from countries other than China, eliminating tariff exposure. Our exposure to battery storage is also mitigated due to a strong partnership with Tesla. Their batteries offer one of the highest domestic production levels available in the U.S. and they represent a majority of the energy storage equipment at our projects currently under construction. We continue to work with all of our suppliers as well as our world-leading financial partners and utilities to mitigate the impact of tariffs. We have modeled potential scenarios for the impacts of tariffs on our 3 projects currently under construction in the U.S. These appear in our quarterly results presentation published today. Within the context of $1.7 billion construction budget for these projects, the impacts are minimal. The U.S. government has suggested that tariffs on China could fall to lower levels over time. And should this occur, the impacts on our projects would be even less. In terms of estimated project returns calculated as expected project EBITDA divided by net CapEx, our analysis shows a reduction of between 0.2% to 1%. As we work through these new and uncertain future macroeconomic factors, I stress that these challenges are not new to us. The Clenera team has been developing solar projects for decades, weathering many changes to trade policy and government incentives. Our focus remains on the market fundamentals. Our customers, utilities across America need new sources of power to meet the growing energy demand and we have proven we can deliver high-quality affordable projects in short time lines. I believe this season will be an opportunity for our company to outpace competitors and enhance our strong position in many markets, ensuring we execute our impressive development pipeline over the coming years. I will now turn the call over to Nir.
Nir Yehuda: Thank you, Adam. In the first quarter of 2025, the company's total revenues and income increased to $130 million, up from $94 million last year, a growth rate of 39% year-over-year. This was composed of revenues from the sale of electricity which rose 21% to $110 million compared to $90 million in the same period of 2024 as well as recognition of $20 million in income from tax benefit compared to $3 million in the first quarter of '24. Revenues from the sale of electricity grew due to the contribution of newly operational projects. Since the first quarter of 2024, 7 of the solar and storage cluster units in Israel, Atrisco in the U.S., Pupin in Serbia and Tapolca in Hungary began selling electricity. The most important increases originated at Atrisco which added $13 million, followed by the Israel solar and storage cluster which added $11 million. In total, new projects contributed $30 million to revenues from the sale of electricity. Offsetting this growth, electricity volumes generated at our wind project operating in Europe were lower compared to the same period last year, mainly due to weaker wind. In addition, generation volumes at project Bjornbeget in Sweden fell compared to last year due to a blade failure experienced in January 2025. The company recognized compensation of $4 million from Bjornbeget operating contractor in lieu of the lower output which is recorded in other income. Revenues and income were distributed between MENA, Europe and the U.S. with 34% of revenues denominated in Israeli shekel, 39% in euros and 27% denominated in U.S. dollar. During the quarter, Enlight reported the sale of 44% stake in the Sunlight cluster of renewable energy project in Israel to institutional investors for a cash consideration of $52 million at a valuation of $119 million and deconsolidated these assets from our balance sheet following loss of control. This generated a pretax profit of $97 million reflected the higher valuation of the entire cluster, of which $42 million reflecting the actual consideration received for the stake sold less related book value was added to adjusted EBITDA. Accordingly, first quarter net income rose to $102 million compared to $24 million last year, an increase of 316% year-over-year. Aside from the $80 million post-tax profit from the Sunlight transaction, growth was driven by new projects in the amount of $28 million and offset by higher operating expenses of $70 million and net financial expenses of $10 million, all after tax. The company adjusted EBITDA grew by 84% to $132 million compared to $72 million for the same period in 2024. The increase in adjusted EBITDA was boosted by $42 million from the Sunlight transaction, along with $36 million from the same factors that drove the revenues and income increase mentioned above. It was offset by an additional $11 million in cost of sale linked to new projects, while other operating expenses rose by $4 million. Looking to our balance sheet, Enlight completed a broad range of financing transaction during the quarter. We reached financial close on projects Country Acres and Quail Ranch, combined $1 billion in construction financing at competitive rates. Adding in $245 million of new bonds issued in Israel during this quarter and $550 million financial close for Roadrunner in December 2024. In total, Enlight has raised $1.8 billion in financing during the past months to support the expansion plans with particular focus on the U.S. Supplementing these funds, we have $350 million of revolving credit facility at several Israeli banks, of which none have been drawn as of the balance sheet date. This further increases our financial flexibility as we continue to deliver on our growth strategy. We reiterate our 2025 guidance range which expected revenues and income between $490 million and $510 million and adjusted EBITDA of between $360 million and $380 million. Our revenues and income guidance for 2025 includes recognition of the estimated $60 million to $80 million income from U.S. tax benefit and 90% of 2025 generation output is expected to be sold at fixed price either through hedges or PPA. I will now turn it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Justin Clare from ROTH Capital Partners.
Justin Clare: So I wanted to start off here just on the potential for PPA negotiations here. It looks like you did change the estimated first full year revenue -- or you haven't changed the first full year revenue for some of your U.S. projects with CODs in '25 and '26. So just wondering what the potential is that we do see changes to the revenue expectations as a result of PPA adjustments and then how that might affect the project returns here?
Gilad Yavetz: Yes. Justin, thank you for your questions. So, we are very optimistic about the results of the project and the relatively minor impact that we currently have from, I would say, the changing tariffs, say, declarations in the U.S. I think it's derived from a multilayer approach coming both from the cost side, from the tax equity protection and also from, as you mentioned, the revenue side. But I would say the revenue side on PPA adjustment is marginal. We have very good protection coming from our supply chain strategy, from the fact that currently, our solar panels are not affected at all on what we call the second wave, so the project that will be constructed until '26. And relatively on the BESS side, relatively, we are in a good situation because 80% is sourced through Tesla and which has a relatively high domestic content. So, on top of that, we have the tax equity protection as it on the solar -- on the BESS side, it's primarily ITC. And on top of that, we have some protection coming also from participation of the PPA counterpart. So, all in all, we do not foresee currently a change in our forecast or guidance for '25. And we are very encouraged from the results. I do hope that during the year, maybe we are even going maybe to review uplifting the guidance. But currently, first quarter, so we are reaffirming the guidance. And we believe that the impact -- the current impact that we see from the tariff policy is minor.
Justin Clare: Okay. Got you. That's good to hear. Just to better understand it, it does look like there were some modest adjustments to CapEx, it looks like for storage projects in 2025, 2026. Wondering, are negotiations still ongoing with your suppliers? Or are things mostly agreed upon at this point? And then I just wonder, if tariffs were to change which we could see a change soon here, how would your contracts potentially adjust for that?
Gilad Yavetz: Yes. Yes, it's a great question. So first, the contracts that we have because we have multiple projects first and each project has multiple supply contracts. So, it varies. But in general, in some of the cases, we have automatic adjustment in the current contracts. And in some of them, we adjust. But I would say the overall situation that we are at already is positive and provide a minor impact. And I believe that with the negotiations that are even currently undergoing, we can get even a better result. So, in this regard, we feel safe. What we provided in our presentation relates to the 145% tariff on China and 10% broader global tariffs that U.S. declared. Of course, if that tax policy will change, results will change. But what we saw until now since already the policy has changed multiple times, when we took each one of the policies that were noticed and put that in our Excel files, we got in each one of them to a very minor impact. And this reaffirmed our supply chain strategy over the last 2 years because the current projects are already affected from decisions we took 2 years ago. And I think for us, it was very encouraging to see that the diversification, the fact that we relied on out of China sources, we relied more on domestic -- U.S. domestic content suppliers and suppliers coming from China out even from the 4 countries of the AD/CVD. So, we feel after several occurrences that we are in a good place. But of course, we will have to see on future policies.
Justin Clare: Right. Okay. That's helpful. And then just one more. Wondering if you could just provide an update on how much of your U.S. pipeline you think could qualify for the IRA credits under the safe harbor and just talk through your strategy in terms of potentially extending the qualifying projects into the future here.
Gilad Yavetz: Yes. So, I would like to let Adam answer. He will be more accurate than me. Adam, please go ahead.
Adam Pishl: Yes. I think in terms of IRA, I mean, this is a difficult question to answer when we have multiple projects at different stages and timing. But we're continuing to accelerate our schedules and ensure that we're able to take full advantage of the IRA as it stands today.
Gilad Yavetz: Yes. Just to complement Adam, on a specific project basis, so on the 3 projects under construction, meaning all projects that will reach COD until the end of '26, we are already fully covered on safe harboring. And we are now working on getting to the safe harbor of CO Bar and Snowflake that will be operated by the end of '27 to early '28. So -- also in this regard, the acceleration, Adam mentioned, is already to the next phase of project, while the project that affect our results for the next 2 years is already fully covered by safe harbor.
Operator: Our next question comes from the line of Corinne Blanchard from Deutsche Bank.
Unidentified Analyst: This is actually Mike Bonkayarn [ph] on for Corinne. Congrats on the strong quarter. My first question revolves to financing. Have you seen any recent -- or can you speak about the current financing environment, how that's changed over recent months and what you expect going forward?
Gilad Yavetz: Yes. So first, I think we got and we showed a very good sign by closing 3 major project finance transaction in the last 4 months in a total debt of $1.5 billion for projects with a total cost of $1.7 billion and with very good and favorable terms that we also disclosed to the market. So, I think this was a good sign because the last financial close was done in the midst of the tariff turmoil in the U.S. and the 145% declaration. I think this is a good sign showing the resilience of our projects and the trust that we have from the banking industry in our ability to execute and to meet our forecast. So, in this regard, I think we are in a very good situation. The next wave of projects that will come to financial close would be towards the end of the year with Snowflake. So we are, I think, encouraged and we believe that we have very good tools to get to very good financing also on these projects.
Unidentified Analyst: Great. Appreciate that. And the second question I had is related to the tariff impact on that 20% of storage that's not sourced from Tesla. Can you talk about where you've sourced that and then any risk you see there?
Gilad Yavetz: Yes. So, the 20% comes from Chinese supplier, top tier. And on this regard, we are protected from, I would say, multiple layers. Some of it comes from the fact that the equipment was already delivered to the U.S. and some of it comes from adjustment mechanism that we have within our contracts and good relationships. So also on the 20%, the picture that we've shown in our presentation, I think, provides the bottom line that includes the 20%. And we -- you can see that the overall is good.
Operator: Our next question comes from the line of Jack Hurley from Mizuho Group.
Jack Hurley: On the line for Maheep here. Just on tariffs, I appreciate the color on the China sensitivity in the slide deck. But how should we think about sensitivities to tariffs to other countries for either under construction projects or preconstruction projects?
Gilad Yavetz: Yes. Thank you for the question, Jack. So, I think what we tried to date on the last 2 years is a supply chain strategy that is very diversified, is trying to first rely on mostly out of China sourcing, then domestic content from the U.S., then out of the 4 AB/CVD countries and then to countries that we believe that are less exposed like India and other similar countries. So, we believe that with this diversification, we have, I think, a relatively a very good, I would say, solution to an uncertain tariff policy. Until now, since there were several announcements, part of them imposed tariffs in other countries in higher levels than the 10%. So, it was already tested and again, showing a slightly different results but still minor on the project. So of course, we don't know what will be the final outcome but we are quite confident on the resilience of the supply chain strategy that is based on this, let's say, these priorities and criteria.
Jack Hurley: Got it. And also regarding Europe, given Europe's focus on infrastructure spending, are you seeing any signs of growth in advanced projects on that geography?
Gilad Yavetz: Yes. Yes. We do see strong demand today coming from Europe and by the way, MENA. In Europe, what we see, I think, a broad trend of strong demand for BESS, so energy storage projects. We do have in our pipeline currently on an advanced pipeline of 1.6 gigawatt-hour of BESS projects in Europe, either as a standalone project or complementation to our generation project. And we believe that this will be one of the drivers of our growth in Europe in the next few years. While in Israel, what we see is, I would say, a threefold trend coming from agrosolar requirements. So, the utility scale business in Israel will grow on the PV side a lot in the area of agrosolar and we are now developing and already provided the first agrosolar project with very good results. We see very strong requirements in Israel also for energy storage. Coming from the fact that Israel is not connected to other electricity networks and needs to rely on its own sources. And we also see in Israel future requirements for data centers. Some of them are combined with solar generation. So, this is also an area that we entered into development for the first time this quarter by winning a tender of the Israeli Land Authority on a combined solar generation and a data center and we will develop that in the coming years. But we will see -- we believe that we will see some growth also coming from this area in the coming years.
Operator: [Operator Instructions] There are no further questions at this time. So, I'll hand the call back to Yonah for any closing remarks.
Yonah Weisz: Thank you very much for joining and we'll speak next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.